Operator: Welcome to the Health Catalyst First Quarter 2025 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] Now, I would like to turn the conference over to Jack Knight, Vice President of Investor Relations. Please go ahead, sir.
Jack Knight: Good afternoon, and welcome to Health Catalyst's earnings conference call for the first quarter of 2025, which ended on March 31, 2025. My name is Jack Knight. I am the Vice President of Investor Relations for Health Catalyst. And with me on the call is Dan Burton, our Chief Executive Officer; Jason Alger, our Chief Financial Officer; and Dan LeSueur, our Chief Operating Officer. A complete disclosure of our results can be found in our press release issued today as well as in our related Form 8-K furnished to the SEC, both of which are available on the Investor Relations section of our website at ir.healthcatalyst.com. As a reminder, today's call is being recorded, and a replay will be available following the conclusion of the call. During today's call, we will make forward-looking statements pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding our future growth and our financial outlook for Q2 and fiscal year 2025, our ability to attract new clients and retain and expand our relationship with existing clients, trends, strategies, the impact of the macroeconomic challenges, including the impact of inflation, tariffs and the interest rate environment, potential changes to government funding and payment programs that could negatively impact the business of our clients, bookings, our pipeline conversion rates, the demand for deployment and development of our Ignite data and analytics platform and our applications, timing and status of Ignite migrations, acquisition integration and the general anticipated performance of our business. These forward-looking statements are based on management's current views and expectations as of today and should not be relied upon as representing our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. Actual results may materially differ. Please refer to the risk factors in our Form 10-K for the full year 2024 filed with the SEC on February 26, 2025, and our Form 10-Q for the first quarter of 2025 that will be filed with the SEC. We will also refer to certain non-GAAP financial measures to provide additional information to investors. Non-GAAP financial information is presented for supplemental informational purposes only, has limitations as an analytical tool and should not be considered in isolation or as a substitute for financial information presented in accordance with GAAP. A reconciliation of non-GAAP financial measures for the first quarters of 2025 and 2024 to their most comparable GAAP measures is provided in our press release. However, we have not provided forward-looking guidance for professional services gross margin, the most directly comparable GAAP measure to adjusted professional services gross margin discussed today. Technology gross margin, the most directly comparable GAAP measure to adjusted technology gross margin discussed today and have therefore not provided related reconciliations of these non-GAAP measures to their most comparable GAAP measures because there are items that are not within our control or cannot be reasonably forecasted. With that, I will turn the call over to Dan Burton. Dan?
Dan Burton: Thank you, Jack, and thank you to everyone who has joined us this afternoon. We are happy to share our first quarter 2025 financial performance, along with additional highlights from the first quarter. I will begin today's call with summary commentary on our first quarter 2025 results. We are pleased with our first quarter 2025 financial results, including total revenue of $79.4 million and adjusted EBITDA of $6.3 million, with these results above our most recent guidance on each metric. Additionally, we are encouraged with the results of our Tech segment, which had revenue of $51.5 million for the first quarter of 2025, representing 10% growth year-over-year. A key driver to our strategy and growth moving forward is the Ignite platform, and we're pleased to report a strong start to the year with 10 net new platform clients added in Q1, with approximately two-thirds of these net new additions coming from our existing app clients, reinforcing the strength of our cross-sell strategy. Importantly, the aggregated average total ARR and non-recurring revenue per net new platform client came in around the midpoint of the range of $300,000 to $700,000. This is especially encouraging given that Q1 is typically a quieter bookings quarter. And we believe that the momentum we see from Ignite with its additional modularity compared to DOS is the primary driver of this performance. We are encouraged to see Ignite's flexibility and lower average starting price, providing a streamlined sales process compared to DOS. This performance reinforces our confidence in achieving our full year guidance of approximately 40 net new platform clients, and we anticipate being around halfway to that goal by the end of June. We are encouraged by this result as it underscores the effectiveness of our strategic shift to Ignite, a flexibly-priced consumption-based platform. Ignite is a strategic shift away from the rigid high-touch model built around legacy DOS. The shift to Ignite allows us to accelerate sales cycles as we can offer Ignite at a much lower entry price than the roughly $1.5 million price tag of DOS, particularly when clients are looking to start with a single use case. Built on a solid foundation of industry standard technology, Ignite is a quicker, more cost-effective platform, allowing clients to see a faster ROI. It also opens the door to built-in cross-sell and upsell opportunities across our expanded portfolio, including our recently acquired patient experience and cybersecurity solutions. Ignite is a more profitable platform than DOS with approximately 70% gross margins compared to approximately 60% for DOS. Additionally, net new Ignite platform client adds generally have a more profitable 80-20 revenue mix between technology and professional services versus the roughly 50-50 historical mix for new DOS clients. And with our 10 net new platform client wins, this model shift is already delivering tangible bookings results. The pace and quality of these wins underscore the effectiveness of our improved go-to-market strategy with the decision we made earlier this year to sharpen focus on lead generation, including moving marketing under the sales organization and validates the improved flexibility, speed and value that Ignite brings to clients. Ignite has also been key to our partnerships with leading platforms like Databricks and Microsoft. In addition, certain Ignite modules like healthcare.ai are now transactable on the Microsoft Azure marketplace. Given the strategic importance of Ignite and the importance of the migration of existing platform clients to Ignite, I'll now turn some time over to Dan LeSueur for an Ignite migration update.
Dan LeSueur: Thank you, Dan. I want to start by echoing what Dan shared that we continue to believe that the transition to Ignite is a strategically important initiative that enhances our ability to deliver long-term sustainable value to both clients and shareholders. We are monitoring our pace closely and anticipate completing the large majority of Ignite migrations by mid-2026 and completing approximately two-thirds by year-end 2025. Many of the migrations involve smaller, less complex clients where the client may utilize a single DOS module such as healthcare.ai. In these cases, the transition to Ignite is effectively seamless, more of a flip of the switch than a full-scale migration. As part of our shift to Ignite, we've encountered client scenarios where Ignite's lower cost structure has prompted thoughtful pricing discussions, and in some cases, has led to a reduction in total client spend compared to DOS. We continue to focus on cross-selling additional applications to these clients, which we expect will continue to help offset this reduction in spend. These scenarios have been factored into our 2025 bookings expectations, including our anticipated dollar-based retention rate performance, and we will continue to closely monitor trends. Importantly, we expect this headwind will subside starting in late 2026 after we complete the large majority of the Ignite migrations.
Dan Burton: Thank you for that update, Dan. To help showcase the long-term sustainable value that Ignite can enable for clients, let me now share an example of an Ignite-powered client improvement from a recently published case study. Lifepoint Health operates across 60 community hospital campuses with a wide range of disparate EHRs, and it faced significant challenges in accessing unified actionable data to support quality improvement at scale. To address this, Lifepoint leveraged Ignite to identify and prioritize high-impact opportunities in areas, including sepsis, heart failure, blood product utilization and repetitive lab testing. In partnership with Health Catalyst Clinical Improvement Services, Lifepoint implemented evidence-based practices supported by robust analytics, process improvement and change management. Additionally, with AI-driven analytics, Lifepoint provided physicians with clear evidence of which interventions had the most significant impact using their own data, enabling data-driven decision-making and accelerating the adoption of best practices. These initiatives drove measurable results with Lifepoint reporting more than 650 lives saved through reduced sepsis and heart failure mortality, 1,200 fewer blood product transfusions and 22,000 additional patient days at home. With the help of Ignite, Lifepoint improved quality of care, decreased unwarranted care variation, decreased costs and enabled the organization to achieve its quality improvement financial goals. Lifepoint continues to advance its mission of making communities healthier through a data-driven approach. Building on this momentum, Lifepoint is expanding Ignite across its enterprise system to improve patient outcomes, reduce readmissions and ensure clinical documentation reflects true patient acuity. We are grateful for Lifepoint's partnership and trust in Health Catalyst as we expand and deepen the relationship between our organizations. We're also excited to highlight several important new client wins that reflect the evolving strength of our platform. Most notably, we secured new Ignite wins with a Midwest Health Information Exchange client and Canopy Cancer Collective as well as a large new patient engagement opportunity. These wins showcase the unique combination of Ignite and our acquired technologies. They also underscore the growing value proposition of our integrated portfolio and demonstrate how our ability to deliver differentiated impactful solutions is resonating in the market. We look forward to continuing to unlock new opportunities by combining Ignite's flexibility and modularity with the targeted capabilities of our acquired assets. Additionally, we're happy to share that the acquirer of one of our long-standing U.S. health system client partners reaffirmed its relationship with us by choosing to extend our relationship and migrate to the Ignite platform. We view their decision as a strong validation of Ignite's value proposition and its ability to deliver sustainable impact even through periods of client transition and change. It also positions us well for future opportunities to deepen this relationship over time. Next, we see some constructive elements as well as some challenging elements about the overall sales environment and demand backdrop. On the positive side, recent public data, including Kaufman Hall's flash reports show that health system operating margins remain strong and relatively stable, which aligns with what we are hearing directly from clients and prospective clients. We are also continuing to monitor the implications of any policy developments around potential Medicaid and research funding reductions as well as implications of the evolving tariff landscape. These uncertainties in our end market could cause potential delays in client decisions. However, we expect the lower initial cost of the Ignite platform and the direct ROI of our app solutions will be durable in the face of this uncertainty. While we are encouraged to see our pipeline continue to grow, which supports our 2025 bookings expectations, we still recognize that this is a dynamic environment with some uncertainty. As such, we are staying actively engaged with our clients and assessing potential impacts to ensure we remain responsive and well positioned under a range of scenarios. In this environment, we expect Ignite to be meaningfully more resilient than legacy DOS due to several key advantages, including Ignite's modularity, its ability to begin with a single use case, its lower price point and its ability to meet clients where they are as it integrates seamlessly with our wide range of applications. Unlike in the past, we now have a more flexible technology platform and modules with Ignite, which can scale up and down to meet our clients' needs and continue to provide a strong ROI even in more uncertain budget environment. An example of this can be seen in the early traction with Ignite Spark, a purpose-built solution designed for the mid-market. These midsized community, regional and specialty health system segments previously lacked access to enterprise-grade analytics due to lean resources, but can now tap into the enterprise-grade analytics infrastructure of Ignite Spark at a price point they can afford. Additionally, even in pockets of market uncertainty, we've seen increased interest in products like PowerCosting, which helps organizations better understand and manage their cost structure, and Vitalware, which supports compliance and price transparency in a shifting regulatory landscape. These solutions give us continued confidence in our ability to deliver value to clients in a range of economic conditions. With this backdrop, I will now share some updated perspectives on our anticipated 2025 bookings levels, which largely aligns with what we shared a few months ago. We continue to expect approximately 40 net new platform client additions for 2025. Importantly, we delivered 10 net new platform client wins in Q1 2025, which, as a reminder, has historically been a quieter quarter for bookings. The primary driver to the accelerated bookings performance is Ignite, which has helped shorten sales cycles compared to DOS. We are also reiterating our expectations for the average ARR plus non-recurring revenue range of $300,000 to $700,000, and we saw our additions from Q1 2025 come in at roughly the midpoint of this range. As a reminder, on our February earnings call and our 10-K filing earlier this year, we updated the definition of platform clients to apply a higher, more stringent threshold, including a requirement of at least $100,000 of new or incremental ARR plus non-recurring revenue. This update, along with our Q1 performance, helps provide increased visibility and gives us added confidence to achieve our targets. Likewise, we are reiterating our expectations for dollar-based retention rate for 2025 of approximately 103%. Lastly, as part of our ongoing commitment to disciplined capital allocation, we recently executed a $5 million share repurchase in March, representing approximately 1.1 million shares repurchased. We will continue to be thoughtful about potential dilution, and we view additional acquisitions as unlikely in the near term with our focus on continuing to drive profitable organic growth, including driving value from our existing capabilities and recently acquired assets. We're pleased with the integration progress of our recent acquisitions, including Upfront, which continues to align well with our Ignite platform strategy. We are encouraged with early successes we've seen like the wins we highlighted earlier. From an operational perspective, we've made meaningful strides in expanding our India-based footprint, particularly within R&D, where we are executing an India-first approach to new development resources. We are strategically exploring further offshoring within SG&A to drive long-term operational efficiency and believe that these and other efforts will continue to deliver meaningful additional operating leverage in 2026 and beyond. With that, let me turn the call over to Jason. Jason?
Jason Alger: Thank you, Dan. Before diving into our quarterly financial results, I want to echo what Dan shared and say that I am pleased with our first quarter performance. I will now comment on our strategic objective category of scale. For the first quarter of 2025, we generated $79.4 million in total revenue. This total represents an outperformance relative to our quarterly guidance and is an increase of 6% year-over-year. Technology revenue for the first quarter of 2025 was $51.5 million, representing a 10% increase year-over-year. This year-over-year growth was primarily driven by recurring revenue from new and acquired clients. Professional Services revenue for Q1 2025 was $27.9 million and increased 1% compared to Q1 2024. For the first quarter 2025, total adjusted gross margin was 49%, representing a decrease of approximately 210 basis points year-over-year. In the Technology segment, our Q1 2025 adjusted Technology gross margin was 67%, a decrease of approximately 120 basis points relative to the same period last year and an increase of approximately 260 basis points relative to Q4 2024. This quarterly performance was ahead of the expectations we shared on our last earnings call, mainly driven by lower technology cost of revenue than initially expected. In the Professional Services segment, our Q1 2025 adjusted Professional Services gross margin was 16%, representing a decrease of approximately 630 basis points year-over-year and an increase of approximately 240 basis points relative to Q4 2024. This quarterly performance was mainly driven by our recent reduction in force that occurred in Q1 2025. In Q1 2025, adjusted total operating expenses were $32.8 million. As a percentage of revenue, adjusted total operating expenses were 41%, which compares favorably to 47% in Q1 2024. Adjusted EBITDA for Q1 2025 was $6.3 million, exceeding our Q1 guidance of approximately $4 million. Our adjusted net income per share in Q1 2025 was $0.01. The weighted average number of shares used in calculating adjusted basic net income per share in Q1 was approximately 68.6 million shares. Turning to the balance sheet. We ended Q1 2025 with $342 million of cash, cash equivalents and short-term investments compared to $392 million as of year-end 2024. In terms of liabilities, the face value of our term loan is $162 million. The face value of our convertible notes is a principal amount of $230 million. We are happy to share that on April 14, 2025, we paid off these convertible notes in full at maturity with cash from the balance sheet. We've reduced our total leverage by retiring these convertible notes, and we do not anticipate drawing on the delayed draw feature of our term loan at this time. As it relates to our financial guidance, we would highlight that the following outlook is based on current market conditions and expectations and what we know today. The guidance does not include any impact from new tariff actions or changes in the Medicaid and research funding environment. For the second quarter of 2025, we expect total revenue of approximately $80.5 million, and adjusted EBITDA of approximately $8 million. And for the full year 2025, we continue to expect total revenue of approximately $335 million, Tech revenue of approximately $220 million, and adjusted EBITDA of approximately $41 million. Now, let me provide a few additional details related to our 2025 guidance. First, as it relates to our Q2 2025 expectations, we anticipate that our Technology revenue segment will be up sequentially and up greater than 10% year-over-year. For our Professional Services segment, we anticipate Q2 revenue will be slightly down sequentially and year-over-year, primarily driven by implementation delays with some of our Health Information Exchange clients. We do not expect this will result in a loss of revenue for the full year, but these delays will push some revenue into the back half of 2025. Additionally, we experienced a few instances of delays in anticipated bookings wins, specifically in the subsegments of Health Information Exchanges and Life Sciences that we believe were tied to uncertainty in the Medicaid and research funding environment, respectively. We believe we can win these late-stage pipeline opportunities once there is more certainty in the funding environment. Also, as a reminder, our bookings generally take a few months to ramp into revenue, and we anticipate we will see our Q1 2025 bookings begin to ramp into revenue in the second half of 2025. Next, in terms of our adjusted gross margin, we expect that our adjusted Technology gross margin will be roughly flat to slightly down quarter-over-quarter. In the Professional Services segment, we anticipate that our Q2 2025 adjusted Professional Services gross margin will be approximately flat to slightly down compared to Q1 2025. Lastly, we anticipate that operating expenses will be down between $1 million and $2 million in Q2 2025 relative to Q1 2025 as we start to see the full impact from the reduction in force we mentioned on our February call. Now, let me provide a few additional details related to our full year 2025 guidance, which is consistent with what we shared on our February earnings call. We continue to anticipate that our Technology year-over-year revenue growth will outpace Professional Services year-over-year growth as Technology growth remains the top priority for Health Catalyst. Key drivers include momentum from Ignite sales as well as cross-selling additional solutions throughout our client base, contribution from acquisitions completed over the last year and lower-than-anticipated Professional Services bookings in 2024, primarily in TEMS. Next, related to our adjusted gross margin, we continue to expect that adjusted Technology gross margin in the second half of 2025 will be higher than the first half of 2025 as we continue to make progress on the Ignite migration effort as well as see revenue ramp from our Health Information Exchange clients as we make additional headway on these implementations. Consistent with our prior expectations, we anticipate that our adjusted Professional Services gross margin will be in the high teens for 2025. Also, we expect continued operating leverage with adjusted OpEx declining as a percentage of revenue in 2025 compared to 2024. We believe there are several points of additional operating leverage to realize in 2026. Finally, we expect we will see a few hundred basis points reduction in our stock-based compensation as a percentage of revenue in 2025 relative to 2024. We anticipate making accelerated progress towards our stated target of mid- to high-single-digits stock-based compensation as a percentage of revenue with our updated timeline being 2026, two years ahead of our previously communicated timeframe of 2028. With that, I will conclude my prepared remarks. Dan?
Dan Burton: Thanks, Jason. In conclusion, I would like to recognize and thank our committed and mission-aligned clients and our highly-engaged team members for their dedication and contributions to these results and this progress as well as express my optimism for our future. And with that, I will turn the call back to the operator for questions.
Operator: Thank you, Mr. Burton. The floor is now open for questions. [Operator Instructions] Our first question will come from Anne Samuel of JPMorgan. Please go ahead.
Anne Samuel: Hi, guys. Congrats on the great print, and thanks for the question. You spoke to the more modular approach making you a little bit more resilient here to some of the challenges in the demand environment and within your customer base. And I was hoping maybe you could just provide a little bit more color here on how the decision-making process is maybe different as a result of your more modular strategy versus DOS? And what are the key factors your customers are thinking about right now in this environment in terms of making purchases versus delays?
Dan Burton: Yeah. Great question, Anne. So, there are a few meaningful differences because of the modularity, the lower price point of Ignite versus what we used to experience with DOS. I think, specifically, as we mentioned in our prepared remarks, our ability to meet clients where they are to focus on a single-use case and for those use cases to have specific hard dollar ROI associated with them, I think, make our opportunity to provide real tangible value quickly and at a lower price point, much more doable with Ignite than what we used to have to experience with DOS. As you may recall, DOS had an average starting price point of about $1.5 million, which especially in an uncertain macro environment with potential funding cuts looming is just a very, very high price point to begin a new relationship or expand an existing app layer relationship. And so, we found that, that cross-sell motion, especially from app clients into platform clients was really, really difficult, virtually impossible in economic uncertainty headwinds. Whereas with Ignite, we have a very different opportunity, especially with our app clients. And that's one of the reasons why we believe in Q1, we saw such a strong performance as it relates to net new platform client additions. There was meaningful uncertainty in Q1, and yet, especially having two-third of those net new platform clients come from our app layer client base where we already have a relationship, they've had a good experience with us. We're able to go to that next adjacent area that offers a specific hard dollar ROI and is at a price point that is a lot less of a leap than where we were with DOS. I think the one other thing I would highlight and then see if Dan L. or Jason would add anything would be that whereas in a few years ago, when we faced some similar headwinds as it relates to economic uncertainty and potential economic pressures, we relied more on TEMS as a response to those economic difficulties. Today, we have a much better technology response to any potential downside scenarios where it could be Medicaid cuts, it could be research funding cuts. that by virtue of a much stronger app player portfolio based on what we've built over the last few years and what we've acquired as well. And then, the Ignite [glue] (ph) being so much more modular, flexible and lower in price point than what we had with DOS, we have a much stronger technology-led response to clients that are facing that uncertainty that need a hard dollar ROI. And we anticipate that we'll lean much more heavily on that technology-based response, which has an obvious benefit to Health Catalyst in that revenue being much higher profit margin revenue and much more profitable for Health Catalyst. So, we do feel like this is a different chapter that Health Catalyst is in. Jason or Dan L., anything you'd add?
Jason Alger: Yeah. The only thing I would add is, and this is an example that really showcases Ignite's flexibility is our early traction with Ignite Spark, that's a purpose-built solution designed for community, regional and specialty health systems. It allows us an entry point into this market that we wouldn't have been able to see historically with DOS. So, we're excited about that.
Dan Burton: And Anne, one other thing that, that prompted as well, you asked specifically about the decision-making process. I think when you have a lower price point as it relates to the offering, there are just fewer levels of approvals required. And we're seeing that manifest itself, especially in the net new platform client additions that we shared in terms of a Q1 result where we're seeing shortened sales cycles because of that more streamlined decision-making process because of that lower price point, and that does feel encouraging to us moving forward.
Anne Samuel: That's really helpful. And I was -- my next question was just, should we expect, I guess, maybe given there's kind of fewer levels of decisions that need to be made that perhaps the cadence should it look different, I guess, than the chunkier or more aligned with the budget season cadence as you add new customers should be kind of more measured throughout the year?
Dan Burton: Yeah. Great question, Anne. I think we're monitoring that. We were pleasantly surprised to see our Q1 be a more active quarter than what we've historically seen in terms of that 10-40, 10-40 mix of bookings activity in the 10% being Q1, Q3 and 40% being Q2, Q4. We do expect that to still be a dynamic that being aligned with budgets still matters. But perhaps there's a little bit more smoothing that may take place over time just because of the flexibility of our offering.
Anne Samuel: Really helpful color. Thank you.
Dan Burton: Thanks, Anne.
Operator: Thank you. We go next now to Jared Haase of William Blair.
Jared Haase: Hey, guys. Congrats on a nice quarter here and thanks for taking the questions. Dan, maybe to go back on something you mentioned in the prepared remarks, you talked a little bit about Ignite subscribers tending to have a higher weighting of tech versus services relative to what you experienced with the legacy DOS platform. I would love to unpack that a little bit more just in terms of what's driving that? Is that really some of the novel functionality at the data layer just makes it a little easier to consume, so it requires less of the sort of high-touch delivery model? Is it a lower complexity use case that they're using the data platform for? Just would love to hear a bit more about that.
Dan Burton: Yeah. Great question, Jared. And I think you're on the right track there with those examples that you gave there at the end. At a lower price point, we're often focused on a specific use case. And that specific use case is typically tapping into our portfolio of those five focus areas, each of which has a tangible ROI and each of which just tends towards more of a technology-driven solution than where we were with DOS. I think with DOS, we didn't have quite as wide a portfolio at the apps layer of tech solutions. And there was more to do in terms of the level of integration that was required and that skewed towards more of a services component in that 50-50 range. With Ignite, to your point, it is more modular and flexible and it's easier to install. And what we're typically doing with clients is also something at the apps layer that's tapping into the technology that is robust and requires less services in terms of implementation or the ability to realize a tangible ROI. There will always still be a component of meaningful services, less about implementation and more about, in some cases, having the right domain expertise to realize a measurable improvement like the Lifepoint example that we walked through in our prepared remarks, required real depth of clinical improvement expertise as an example. That will always be part of what we offer. But we're increasingly seeing that technology more and more can cover more of the space needed in order to get to measurable improvement. AI certainly expands that footprint as well. And that is all contributing to that, that 80-20 Tech mix that we're seeing that we view as very favorable. Obviously, that's higher profit margin mix and skews more towards Tech growth, which is a top priority for us in terms of shareholder value creation. So all of those factors, I think, are contributing as well.
Jared Haase: Perfect. That's great. I'll leave it there and hop back in queue. Thanks.
Dan Burton: Thanks, Jared.
Operator: Thank you. We go next now to Jessica Tassan of Piper Sandler.
Jessica Tassan: Hi, guys. Thanks for taking the question. Can I ask one just on how some of these KPIs are accounted? So, is the new -- or sorry, is the $300,000 to $700,000 in average starting ARR, is that new or incremental revenue? Or does it kind of refer to the sum of the ARR with a particular client? I guess, for example, like a large DOS customer, call it, $1 million of ARR in 2024, decides to migrate to Ignite, buys a new module and total ARR goes from $1 million in 2024 to $800,000 in '25. Can you just -- how is that reflected in bookings, average ARR per booking and then net revenue retention?
Dan Burton: Yeah, great questions. So, let me provide two categories of answers. So, the example that you just walked through would be what we would categorize as existing client dollar-based retention activity, where if we have an existing platform client, that is migrating to Ignite, and in your example, which does happen, they decide to pocket the savings of Ignite where it's better, faster and cheaper and they don't add new applications, for example. In that scenario, that would be a headwind to our dollar-based retention metric that we've shared that is the way of capturing that growth building block with existing platform clients. That's the first category of kind of how the accounting works. The second category of that $300,000 to $700,000 average that we shared all applies to new, net new platform clients. So, the primary source of these net new platform clients are our app clients where two-third of our Q1 adds and two-third of last year's adds came from the app layer. In these cases, that $300,000 to $700,000 is all incremental. So, think of a Vitalware client at the app layer, maybe they're spending $200,000 with us just on Vitalware and they decide to expand their relationship with us, including Ignite, that average of, call it, $500,000 is all incremental in that kind of a transaction. And in that example, the $200,000 Vitalware client would grow into a $700,000 relationship with that $500,000 being incremental. And that's where we're seeing a lot of traction. And that's what that metric is really representing both in terms of the number of net new platform clients with 10 in Q1 and that $500,000 average incremental ARR plus nonrecurring revenue, kind of a proxy for what kind of next year revenue growth will that new platform client building block contribute.
Jessica Tassan: Thank you. That's actually so helpful. And then just maybe a follow-up. Is the timeline on implementations different between the two-thirds of the net new bookings that you described as coming from app clients versus the one-third that are brand new to the platform? And maybe you could just give us a sense of like the respective implementation timelines? And then, my quick follow-up would be, was there any upfront acquisition contribution in 1Q? Thanks for the question.
Dan Burton: Yes, absolutely. So, I'll speak to the first, the first category of questions. And then, Jason, if you want to take the upfront acquisitions specific question. The timeline on the implementations for the two-third of net new platform clients that came from the app layer and the one-third that came in as just net new relationships to Health Catalyst have about the same implementation time line. It's usually about a few months of implementation before we start recognizing revenue. So, very similar, whether they're an existing client or a new client. There's slight advantages to the existing app layer client, but they're not huge. And one of the benefits of Ignite versus DOS is it's just much easier to implement. And so, that's generally going to only be a few months before -- between signing the contract and starting to recognize revenue. Jason?
Jason Alger: Yeah. From an upfront standpoint, there was a slight contribution in 1Q related to upfront. From an EBITDA standpoint, they were burning on EBITDA. So, it was a slight headwind for EBITDA, and we expect over the course of 2025 that, that headwind will turn into a tailwind for us where we're able to continue revenue expansion and manage costs effectively to where it is generating EBITDA in 2025.
Jessica Tassan: Awesome. Thanks again.
Dan Burton: Thanks, Jess.
Operator: Thank you. We go next now to Elizabeth Anderson of Evercore ISI.
Elizabeth Anderson: Hi, guys. Thanks so much for the question, and congrats on a nice quarter. I had a question. I know you talked about the mix between sort of the Tech and the Professional Services revenue going forward. With the new Ignite customers, does that have any service component at all to it or like an implementation? I just want to make sure I have that part understood as I'm looking towards sort of the evolved model. Thank you.
Dan Burton: Yeah. Thanks for the question, Elizabeth. The mix does shift much more towards Tech, and we like that. We're proactively driving towards that. There is still a services component. There's still in some use cases, there's some domain expertise services as well that can exist, but it is shifting. And for those new Ignite customers, we're typically seeing about an 80-20 mix of tech versus services, which is considerably different from when we went public six years ago with DOS, we were more of a 50-50 mix. And so we continue to see that mix shift more and more towards tech.
Elizabeth Anderson: Got it. That's super helpful. And I apologize if I missed this as you mentioned before, but in terms of the length of those contracts, I know we think of you obviously having a partnership model with your customers having sort of many like multiyear contracts. Does that element -- is there any change in sort of that element with these new contracts? Or should we think of those in those sort of similar length types of periods?
Dan Burton: Yeah, very similar. So, still that long-term partnership mindset, still often three- or five-year contracts that we're locking in, which is obviously very positive and favorable, but able to start at a lower price point with Ignite.
Elizabeth Anderson: Got it. Thank you so much.
Dan Burton: Thanks, Elizabeth.
Operator: Thank you. We go next now to Richard Close of Canaccord Genuity.
Richard Close: Yeah. Thanks for the questions. Congratulations. We've seen a couple of quarters here of delays on the Health Exchange deals and maybe some slower implementations. I'm just curious, do you have enough Ignite deals in the pipeline to get to the 40 new platform clients that you're reiterating here today if you don't close these exchange deals?
Dan Burton: Yeah. Great question, Richard. Let me answer in two parts. So there's an existing Health Information Exchange client kind of answer to the question, and there's a new client, new pipeline kind of an answer. So, on the existing client answer, we did share in our prepared remarks. And as you pointed out, this has been a trend for a couple of quarters now. I think one of the real challenges in working with Health Information Exchange clients is the complexity of the implementations. They're really an implementation that often cuts across hundreds of different organizations that are all relying on the ability to share data in an interoperable way through our infrastructure. So, they're very complex. And one of the dynamics that has been a real challenge for us is the scoping in a number of these cases keeps expanding. And the complexity keeps expanding and that requires more time and more execution. And that is a challenge that we're facing. It's one of the reasons why our some of our original forecast for when we would recognize revenue with existing clients has been delayed. And we're making progress on those implementations. But towards expanding scope and complexity is a real challenge for us to manage. And so, that is one of the factors in terms of our revenue ramp into the second half that -- we've continued to see some increased scope that has delayed them getting to specific milestones that then would result in revenue recognition, and that's pushing some of the revenue a little bit further into the year than what we had originally forecasted. That's the first category of answer. Then the second category would be as it relates to our new client pipeline, the new platform client additions. And as you mentioned, that is inclusive of some pipeline opportunities that come from the Health Information Exchange subsegment. I would characterize that as a small fraction of our pipeline and the large majority of the pipeline is really more traditional health systems and that we feel very good. As we mentioned in our prepared remarks, that we have a really robust and growing pipeline. It gives us confidence in our ability to hit that 40 net new platform client additions. And we also shared that even in some times of uncertainty as it relates to the macro environment, as it relates to the tariff and potential funding changes to Medicaid or research funding as an example, we still see a number of ways where we can stay on track as it relates to those net new platform client additions. And we're certainly encouraged by a strong Q1 performance, which is usually a light quarter for us and a growing and robust pipeline where part of that confidence that we have is our ability with Ignite to attach to specific use cases that have hard dollar ROI. And our ability to do that and not have such a huge jump in the size of the relationship among our app clients to cross-sell them on that next adjacent opportunity that has a hard dollar ROI that often helps them navigate through these uncertainties like with PowerCosting, like with Vitalware. It gives us increased confidence that even in uncertain macro environments, we still have many ways to get to that 40 net new platform client addition goal that we've set. And as, we mentioned in the prepared remarks, we expect to be roughly halfway to that goal by the end of Q2.
Richard Close: Okay. That's helpful. And then just with respect to Tech margins, with Ignite being higher, I guess what is the timing where we really see the Tech adjusted gross profit margin really begin to lift here? I'm just curious because the first quarter was down year-over-year. And I guess you're looking at second quarter down again. So just curious on that.
Dan Burton: Yeah. Great question, Richard. We believe we'll start to see some of that uplift in the second half of this year. And as Dan L. mentioned, we do expect to be about two-third of the way through the migration process by the end of this year and then largely complete with the migration process by mid next year. So I would expect you'll see gross margins start to see some of that uplift in the second half of this year. That should continue in the first half of next year and continue even further towards the back half of 2026.
Richard Close: Okay. Thank you.
Operator: Thank you. We go next now to Daniel Grosslight of Citi.
Daniel Grosslight: Thanks for taking the question. I just had a quick one on the cadence of Professional Services revenue for the remainder of the year. I just did some back-of-the-envelope math, and it looks like when you take into account some of the shifting dynamics into the second half of this year, you take into account the rolling off of the TEMS ambulatory product, you kind of have to assume an increase in revenue of about $17 million from the first half of the year to the second half. I was just hoping you could comment and put a little bit of a finer point on where that sequential from one half to second half uplift is really going to come from because typically, you just don't see that type of seasonality in the business. Thanks.
Dan Burton: Yeah. I appreciate that question, Daniel. And I'll share a few thoughts and then, Jason, please share. So, in terms of bridging from the first half to the second half, there are a couple of factors that I think will cause some of that revenue ramp that you're asking about in the second half. First, as we mentioned in our prepared remarks, we have seen just a couple of specific instances where we had a few late-stage opportunities that were delayed, at least partially due to some uncertainty in the funding environment. We noted that there were two. One was a life sciences opportunity, one was in the Health Information Exchange subsegment. Both have some uncertainty. In the life sciences space, it's tied to more of the research funding uncertainty. And in the Health Information Exchange space, it's more tied to the Medicaid funding uncertainty. We believe we can win both of those deals, but they were delayed as folks were waiting for a little bit more clarity on what the funding environment will look like. And as a note, in those life sciences opportunities, in particular, they can tend to be fairly large, even seven figures in one case in our pipeline. And they tend to be fairly rapid as it relates to revenue recognition. And so that delay in that late-stage opportunity pushes some meaningful revenue into the second half that could have otherwise happened earlier in the year. But we believe we have a great opportunity to still close that business and just see that revenue ramp in the second half. A second element that I would highlight would be, I mentioned a few minutes ago, that increased scoping in some of our Health Information Exchange client implementations has just taken longer as the scope has increased and the complexity has increased. And so, that revenue, we believe, will still be recognized, but it's just pushing out a little bit further into the year than what we had originally forecasted. And then, finally, we were encouraged to see a strong Q1 as it relates to our bookings performance, but it does typically take a few months for those Q1 bookings to turn into revenue. And so we would expect to really see that materializing in the second half of the year. And finally, along those same lines, Q2 is normally a busy bookings quarter. We expect that it will be this year as well, which is exciting and positive for us, but those bookings really will translate into revenue late in 2025. So, those are a few of the items that will cause more of a ramp in 2025 -- in the back half of 2025 from a revenue perspective.
Daniel Grosslight: Very helpful. Thank you.
Operator: Thank you. We go next now to David Larsen of BTIG.
Jenny Shen: Hi. This is Jenny Shen on for Dave. So, I wanted to ask about price increases. I think in years in the past, they have trended around the 6% to 9% range. Where are they now? And how is client acceptance been for price increases lately with the uncertain macro environment? Thank you.
Dan Burton: Yeah. Thanks for the question, Jenny. So, I would characterize a more typical technology annual increase to our contracts being more in the mid-single-digits. And that has been something that our clients have accepted and been supportive of. Our TEMS contractual relationships typically have a lower -- more of a low-single-digit increase, but more of the contracts that we've been signing recently and more of the growth that we're experiencing is really coming in those tech contracts and mid-single-digits from a year-over-year increase is a reasonable assumption.
Jenny Shen: Great. Thank you.
Dan Burton: Thanks, Jenny.
Operator: We'll go next now to Scott Schoenhaus of KeyBanc.
Scott Schoenhaus: Thank you. I wanted to follow up on the upfront acquisition. You mentioned very minimal revenue contribution this quarter. But kind of wanted to see how the traction has been going in terms of bookings, what your revenue growth ramp should look like, and when we should be expecting an inflection on the EBITDA profitability side for this business? Thank you.
Dan Burton: Yeah. Great question, Scott. I'll share a few thoughts and then Jason, please add as well. So, we continue to feel good about the progress that we're seeing, both from a sales pipeline and bookings perspective. And one of the meaningful new wins that we highlighted in our prepared remarks was a patient engagement solution that really combines the strength of Ignite with the strength of our expanded patient engagement offering, inclusive of upfront, and that was encouraging. Now, like other Ignite deals, as we mentioned a few minutes ago, that takes a few months to ramp into revenue, but we do expect to see some of that revenue ramping in the second half and contributing to the overall ramp that we described a few minutes ago. As it relates to EBITDA, as Jason mentioned, in Q1, upfront was a slight headwind as it relates to EBITDA contribution. But we're encouraged to see meaningful synergy and cost management efforts paying off and do expect to see, especially in the second half of this year, that headwind turn into a tailwind as we realize those synergies and enable that particular part of our portfolio to perform in a consistent manner to where we look for the rest of the portfolio to perform as well. Anything you'd add, Jason?
Jason Alger: No, I think you covered it well, Dan. Thanks.
Scott Schoenhaus: Thank you.
Operator: Thank you. We'll go next now to Stan Berenshteyn at Wells Fargo.
Stan Berenshteyn: Hi. Thanks for taking my questions -- I guess, question. So, in the prepared remarks related to modularity of the Ignite platform, creating some down pricing pressure from existing DOS clients. If we square that against your expectations for Ignite replatforming over the next two years, is it reasonable to assume that the headwinds you talked about will be greater in 2025 versus 2026? Thanks.
Dan Burton: Yeah. Great question, Stan. I think so, given that we will be two-third of the way through by the end of this year, and we anticipate being largely through by mid-2026. I think those dollar-based retention headwinds will primarily be factored in and absorbed in 2025, but still some effect in 2026. We're excited to get to the other side of that really substantively by the second half of 2026.
Stan Berenshteyn: Great. If I can maybe squeeze a quick one in? Would just love to get your take on the difference in win rates of the Ignite platform versus the DOS platform. Do you have any insight into how the win rates are squaring up against the all-in sales that you had previously? Thanks.
Dan Burton: Yeah. Another great question, Stan. So, one of the challenges that we had with DOS, especially in, call it, the late 2022 and 2023 timeline was DOS was so expensive that we really couldn't cross-sell our app clients in an effective way to become platform clients with DOS. It was just too big a leap for $100,000 client to become $1.6 million client with the addition of DOS and especially with some financial pressure. That is totally different with Ignite. And that's where this is a time of some market uncertainty and macro uncertainty. And yet because we have Ignite, we can cross-sell with those existing app layer clients. And as we've shared in the past, we see about a 2x to 3x conversion rate advantage when we're cross-selling to an existing client versus kind of starting and cold calling with a new client. And so that's a huge advantage to us. And that 2x to 3x conversion rate is a reasonable proxy, especially for our cross-sell opportunity, which is massive now with over 900 app layer clients that all could become platform clients that just really wasn't open to us with DOS. And today, it's wide open, and we see that 2x to 3x conversion rate bump being really, really positive and sustainable for us.
Stan Berenshteyn: Awesome. Thanks so much.
Dan Burton: Thanks, Stan.
Operator: Thank you. We go next now to Jeff Garro of Stephens.
Jeff Garro: Yeah. Good afternoon. Thanks for taking my question. I want to ask about the Spark product and selling applications on the Azure marketplace with Microsoft. So, I want to ask if you're seeing a benefit from expanding the product portfolio and channels and maybe further to what extent is there overlap versus those expansions being completely incremental? Thanks.
Dan Burton: Yeah. Great questions, Jeff. We are really encouraged, and we're excited about Spark for the mid-market. Interestingly, one of the motivations for us to really focus on the mid-market is that there's a large chunk of those 900 app layer clients that really fit the definition of mid-market. And this was a way of really reaching out to them and kind of getting the best of both worlds where we could share with them a very price competitive offering and take advantage of the fact that we have an existing client relationship that enables us to be inside the door as opposed to on the outside knocking on the door. And so, there is meaningful overlap, but there's also a broader mid-market outside of our client base of over 1,000 existing clients that we're also tapping into and excited to expand. And Ignite makes that possible. And Spark is just a tweak to the Ignite infrastructure that's actually quite easy because Ignite is so modular, we just couldn't have done that with DOS. And so, it's another example of why Ignite is really a stronger platform for us and a much more flexible platform for us to expand into the mid-market and to have lots of great tech-heavy answers even in a time of macro uncertainty.
Jeff Garro: And Dan, anything to add on the Microsoft Azure marketplace and the opportunity there?
Dan Burton: Yeah. We -- as you know, Jeff, I've had a long-standing relationship with Microsoft, but we're really excited about the expansion in that partnership, which includes a go-to-market expansion. There's a couple of components to that go-to-market expansion. One is that we're on the Azure marketplace, and we have components of Ignite like healthcare.ai that we make it really easy for someone to get started, which we really like. We're early in that process, but we really like having that as a new channel. We're also doing some joint go-to-market activity with our combined sales force and also really excited about that partnership. We have a similar kind of partnership with Databricks and have seen some really meaningful traction where we've come to the agreement that we're better together going to market jointly in the healthcare space and believe that will be another tailwind for us moving forward.
Jeff Garro: Excellent. Thanks again.
Dan Burton: Thanks, Jeff.
Operator: And we'll go next to now to Sarah James of Cantor.
Sarah James: Thank you. Can you provide any color on the mix of Ignite converting clients that are taking in the savings from the conversion as opposed to applying them to expanded purchases? And if I take a step back, your overall company revenue retention is increasing year-over-year even through this conversion. So, maybe you could give us a breakdown of what average revenue retention looks like on converting clients and help us bridge that to the overall guide of 103% revenue retention for the total company?
Dan Burton: Yeah. Great question, Sarah. I'll share a few thoughts, and then Dan L., if you'd like to add anything as well. So, we do experience a spectrum of responses with clients. Our first focus is make sure that we win as it relates to this multiyear technology strategy, architecture strategy decision to migrate to Ignite. And we're really pleased to see the vast, vast, vast majority of our clients finding Ignite really resonant and very, very positive. And that's where we expect almost all of our existing platform clients to have made that migration, which is fantastic. Then, the second question is how are we going to manage that? And we do share some of the better, faster, cheaper savings with our clients. We keep some of that, and that's why Ignite is 10 points higher gross margin than DOS was, but we share some of that as well. And we do everything we can to strive to help them see the benefit of adding an app or adding two apps so that we maintain the same spending levels. And that's where, to your point, Sarah, we have been pleased to see our ability to maintain 100%-plus dollar-based retention across the platform client base that we have. And I think that's a reasonable proxy for how those clients that are migrating given that by the end of this year, we'll have two-third of them migrated onto Ignite in 2025. So that 103% dollar-based retention target that we've set has a lot of -- the vast majority of what's being contributed there is coming from clients who have migrated to Ignite. We do factor in some headwind, though. There are plenty of cases where the clients are facing uncertainty or headwind or concerns about funding environment and may choose to just pocket some of that savings, still maintain the same use cases and the same level of engagement with us, but just take advantage of some of Ignite being better, faster and cheaper. And we have factored that in to that 103% dollar-based retention target for this year. Now, there could be -- in some negative case scenarios, there could be a little bit more headwind if there was a major cut to Medicaid funding, for example, that would impact many of our health system clients. And one of the places you could see a little bit of headwind incremental to that 103% could be a few more of those clients kind of choosing to just pocket the savings for now or if there's more uncertainty, we could see that in the near term. Currently, we feel good about the 103%, and we've already factored in kind of a couple of points of headwind as it relates to that dynamic of Ignite being better, faster and cheaper. Dan L., anything you'd add?
Dan LeSueur: No. Well said, Dan.
Sarah James: Okay. Thank you.
Dan Burton: Thanks, Sarah.
Operator: Thank you. And that is all the questions we have today. Mr. Burton, I'd like to turn things back to you, sir, for any closing comments.
Dan Burton: All right. Thank you all for your continued interest in Health Catalyst, and we look forward to staying in touch. Take care, everyone.
Operator: Thank you. This concludes today's Health Catalyst first quarter 2025 earnings conference Call. Please disconnect your lines at this time, and have a wonderful day. Goodbye.